Operator: Good afternoon, ladies and gentlemen. Welcome to the WSP's Fourth Quarter 2017 Results Conference Call. I would now like to turn the meeting over to Isabelle Adjahi, Vice President Investor Relations and Communications. Please go ahead. Ms. Adjahi.
Isabelle Adjahi: Thank you, and good afternoon, everyone. Thanks for taking the time to join the call to discuss our Q4 and Fiscal 2017 performance. We will first make a few remarks and then we will follow this by a Q&A session. Joining me today are Alexandre L’Heureux, our President and CEO; and Bruno Roy, our CFO. Please note that we will be recording the call, and we’ll post it on our website tomorrow. Before we start the call, I want to mention that we will be making some forward-looking statements, and that actual results could be different from those expressed or implied. And we undertake no obligation to update or revise any of these forward-looking statements. Now I will turn it over to over to Alexandre. Alex?
Alexandre L’Heureux: Thank you Isabelle and good afternoon everyone. We are really pleased with our 2017 performance and as such the main points I would like you to take away from this call are the following. Firstly, organic growth as you know is the lifeblood of any company and the underlying measure of its strength. I am pleased to report that we posted strong results for the year with organic growth and net revenues across all of our major hubs. In other words organic growth and net revenue was 17% in Australia, 12% in the Nordics, 10.4% in the Americas, 4% in the UK and 2.1% in Canada. We are very proud of this performance. Secondly, beyond revenue growth we posted record high backlog in line adjusted EBITDA and solid cash flow generation. This along with a strong balance sheet puts us on solid ground as we enter 2018. Thirdly we met or exceeded all of our 2017 outlook metrics and finally all of the above positions us well to meet our 2015-2018 strategic planned targets. In parallel we have already started to work on our 2019-2021 strategic cycle which we will announce in the first part of next year. Let me now address all of these points in more detail. Organically 2017 has seen growth in net revenue across all of our reportable operating segments. This past year we have won projects on varying sizes and complexities giving us the opportunity to provide lasting solution to the development and the betterment of the communities within which we operate. This growth as wholesome have been nurtured by our ability to seize various opportunities for clients as a result of our capacity to cross sell our expertise translating into improved project delivery and higher margins. This proves not only that we are a trusted advisor to our clients but also a strategic partner. Let me make a few comments on our fourth quarter and full year financial performance which Bruno will discuss in greater detail. Our strong growth this quarter was mainly driven by the U.S as a result of FEMA disaster assessment inspection related services which surpassed forecast and propelled net revenues and organic growth and net revenue beyond our expectations. During this period, we mobilized experts to support many counties and cities across the United States and its territories with their monitoring and recovery programs. Net revenues were 1.5 billion up 11.4% year over year while organic growth and net revenues amounted to 8.1%. Adjusted for FEMA related net revenues in excess of our expectation we would have posted 1.6% organic growth this quarter. We are pleased with this performance since Q4 2017 has four less billable days compared to the same period in '16 which we had anticipated would have translated in negative organic growth and net revenues for the quarter. For the year adjusting against the FEMA related net revenues, organic growth and net revenues would have been 4.4% still above our target range as Canada and Australia exceeded our expectations. Adjusted EBITDA was 140 million with adjusted EBITDA margin of 9.5% lower when compared to Q4 2016 due mainly to having four less working days. As you recall this is the opposite effect we noted in the first quarter of '17 where we had five extra billable days which positively impacted our margin profile. As such the 9.5% margin should not be analyzed on a standalone basis, instead the analyzed adjusted EBITDA margin is a better indicator of our performance. At 10.4% we are in line to reach our 2018 target of 11%. Lastly our backlog reached its highest level ever, it stood at 6.4 billion representing approximately 10.1 months of revenues. Let me now move to our operational performance in fiscal '17. During the past year we acquired 10 companies adding over 5000 employees to our workforce expanding our geographical presence in New Zealand while strengthening our expertise in Latin America, the Nordics, the UK and Australia. All of this year's acquisitions were financed using our balance sheet, Opus actually marked our 100th acquisition since our 2006 IPO and let me take this opportunity to welcome all of our new colleagues to the WSP family. The year culminated with the successful rebranding of all our operation worldwide as WSP, united around one vision, one strategy and one brand. By leveraging our guiding principle and operating model which is a great market differentiator. We will continue to raise the bar and offer the best to our clients, employees and shareholders in 2018 and beyond. Looking at the performance of our regions, Canada posted organic net revenue growth of 2.1% in '17 and 12.3% adjusted EBITDA margin before global corporate cost ahead of our expectation. This was reflected with the Canadian leadership team's execution of the operational restructuring plan initiated in '16. Our backlog in Canada is also increased organically 10.9% compared to the same period last year. Significant project wins, notably the contract pertaining to the rehabilitation of Canada's parliament central block, several contracts with Ontario's Ministry of Transportation and WSP portion of the fourth transit joint venture Metrolink contract for regional express rail program in Toronto helped Canada's backlog to reach over $1 billion. With an expanding pipeline of opportunities particularly in the infrastructure sector, we expect further momentum and are optimistic about the long term prospect in the Canadian market. The Americas operating segment posted strong 10.4% organic growth in net revenues for the year, coming mainly from the FEMA related revenues in the U.S. Adjusted for these revenues the Americas operating segment would have reported organic growth in net revenues of 4.6%. This region delivered adjusted EBITDA and adjusted EBITDA margin before global corporate costs of $220.2 million and 13.3%, respectively. Once again, the highest among all of our reportable operating segments. The pipeline of opportunities for the Americas remain healthy and we are pleased to have been selected to provide services related to the development of the Giant Magellan Telescope, the first of the next generation of giant ground-based telescopes. This project was run through the collaboration of our team in the U.S. and Latin America with the recently acquired Poch team in Chile. Across the pond, the EMEIA operating segment delivered organic and net revenue growth of 4.6%, in line with our expectations. We had a very strong year in the Nordics delivering organic growth in net revenues of approximately 12%. While Brexit continues to create some uncertainty in the UK, the region nevertheless delivered slightly over 4% organic growth for the year. Following the end of fiscal ’17, WSP UK was appointed to lead the development of two of the four new stations as part of the high-speed two rail networks, highlighting our worldwide expertise in the field and adding to our backlog. Continuing in EMEIA and both the Middle East and South Africa, most performance metrics were down compared to ‘16 in line with our expectations. Adjusted EBITDA margin of 9.9% for the year was slightly below our expectation and was due mainly isolated and timely related matters. Our APAC operating segment posted organic net revenues of 7.1% for the year. Looking specifically at Australia, operations performed ahead of expectations with significant organic net revenue growth, while our Asian operation continue to be impacted by a slowdown in the private property market. The recent acquisition of Opus is expected to generate cost synergies, which should positively impact the performance of the region in ’18. Integration is progressing according to plan. Globally, 2017 was a rewarding year as we strengthened our business around the globe, while pursuing our acquisition strategy. I would like to thank all of our leaders and employees for this outstanding performance and for their continued dedication. Bruno will now review our fiscal financial results in more detail and share our 2018 outlook. Bruno?
Bruno Roy: Thanks, Alex and hello everyone. I am pleased to share results for the fourth quarter and for fiscal 2017. Before I jump in though, let me say that we are very pleased with our results. Our organic growth was very strong at 6.2% for fiscal ’17. We have a number initiatives in the pipeline to carry this momentum in 2018 and beyond. Our adjusted EBITDA margins are at the end of 2017 where we expected them to be at 10.4%. We’re tracking well towards our 11% target and again, we have a number of initiatives in the pipeline to get us there. Our DSO remained healthy at 79 days and this, despite our strong organic growth rate. We are working hard in all your processes from client selections and voice collection to further improve our working capital performance. Our free cash flow for the full year was nearly $300 million for an earnings conversion ratio of 139%, reflecting our strong operational discipline. Our balance sheet remains strong at 1.8 times net debt to EBITDA. Even with our making 10 acquisitions without issuing any equity in 2017. All-in, as Alex mentioned earlier, we are very much entering 2018 in front foot. Let me now get into the details. Our reportable operating segments delivered year-over-year constant currency growth in net revenues for both the quarter and the full year. For the fourth quarter, revenues and net revenues were $2 billion and $1.5 billion respectively. A solid growth of 8.7% and 11.4% compared to the same period in 2016. Organic growth and net revenues was 8.1% on a constant currency basis. Adjusted for FEMA related revenues in excess of our expectations, organic growth and net revenues for the quarter would have been at 1.6%. For the full year, revenue and net revenues were $6.9 billion and $5.4 billion, growing at 8.8% and 9.4% respectively. Organic growth amounted to 6.2%. Adjusted for FEMA related revenues in excess of our expectations, that figure would still have been 4.4% better than we’d hoped. Let’s move on to adjusted EBITDA. For the fourth quarter, adjusted EBITDA was $140 million, up $4.7 million or 3.5%. Our adjusted EBITDA margin was 9.5% as compared to 10.2% last year. This was essentially due, as Alex mentioned, to having four less billable days compared Q4 2016. For the full year, adjusted EBITDA were at $555.2 million, up 11.3% or adjusted EBITDA margin at 10.4% up from 10.2% in 2016. Turning to adjusted net earnings. As anticipated, our results were impacted by the U.S. Tax Cuts and Jobs Act enacted in December 2017. This in fact provides the U.S. corporate income tax regime and lower U.S. Federal Corporate Tax rate from 35% to 21% expected at January 1, 2018. This resulted in the corporation recording $16 million non-cash income tax expense in Q4 2017 to reduce the value of its net U.S. deferred tax assets. Although, the enactment of this act will have a positive impact on the U.S. deconsolidated effective income tax rate and cash income tax rate in 2018 and onwards, the recording of this $16 million non-cash expense increased our effective tax rate to 51.5% for the quarter and 32.4% for fiscal 2017. As such, for fiscal 2017, our adjusted net earnings were $233.9 million or $2.28 per share, up 4.6% and 2.7% respectively compared to ‘16. Excluding the non-cash income tax expense, resulting from the U.S. Reform, adjusted net earnings would have stood at $249.9 million or $2.44 per share, up 11.7% and 10% respectively compared to ’16. For the fourth quarter, adjusted net earnings per share was $39.4 million or $0.38 per share. These again were impacted by the U.S. tax reform, which represent 16% share tax hit, as well as four less billable days when compared Q4 of 2016. I’ll now review a few cash flow metrics. For the year, cash flow from operating activities stood at $395.4 million compared to $386.8 million in 2016. Our free cash flow for the year came in at $296.1 million or 138.8% of net earnings beyond our cash flow conversion target of 100% of net earnings. At 1.8 times, our net debt to adjusted EBITDA ratio remained within our target range of 1.5 to 2 times, and this despite our making 10 acquisitions without raising any equity in the 2017. This provides us with sufficient leverage to continue investing in organic growth initiatives and strategic acquisitions. Lastly, our days sales outstanding were a healthy 79 days at the end of 2017, similar to last year. While we remain committed to a DSO target of less than 80 days, our 2018 outlook range is 80 to 85 days is reflected of the worldwide different trends. During the quarter, we also declared a dividend of $0.375 per share for shareholders on record as of December 31, 2017, which was paid on January 15, 2018. With a 49.7% DRIP participation, the net cash outlay was $18.2 million. Net-net, as Alex mentioned, we have delivered and in many cases over-delivered on all our 2017 financial outlook metrics. I'd like now to take a few moments to discuss the outlook for our anticipated 2018 performance, which is aimed at assisting analysts and shareholders in refining their perspective on our performance. This outlook has been prepared based on foreign exchange rates effective yesterday, March 14th. Also, please do keep in mind that we have not considered any acquisitions, disposals or any other transactions that may occur after today's date. As we've mentioned earlier our FEMA related revenues significantly impacted organic growth and net revenues for '17. These revenues, due to their nature, cannot be predicted with any measure of accuracy. As such, taking into consideration FEMA related net revenues generated in '17 in excess our expectations and not anticipated to reoccur in '18, we foresee 2018 consolidated organic growth in net revenues into 1% to 4% range. We anticipate net revenues to be in the $5.7 billion to $5.9 billion range and our adjusted EBITDA to be between $0.06 and $660 million. As in the past, our adjusted EBITDA will be subject to seasonality. Quarterly adjusted EBITDA will therefore range from 18% to 29% of the total annual adjusted EBITDA. Turning to tax. We expect our effective tax rate for fiscal 2018 to be in the 23% to 25% range, significantly lower than in previous years as a result of U.S. tax reform. DSO's are expected to remain in the 80 to 85 day range. We also expect amortization of intangible assets related to acquisitions to be between $60 million and $70 million, while capital expenditures should range between $115 million to $125 million. In 2018, we continue to target the net debt to adjusted EBITDA ratio ranging between 1.5 to 2 times, excluding potential 2018 acquisitions. We also anticipate between $40 million and $50 million in acquisition and reorganization cost, driven both by integration based on operational optimization and real estate consolidation. Global corporate costs in 2018 should range between $75 million and $80 million compared to $59 million in 2017. This is mainly due to higher anticipated costs associated with the expansion of our existing and key employee retention programs, as well as to a series of group initiatives expected to fuel organic growth and operating margin improvement. Alex will now comment on the operational outlook for each of the regions. Alex, over to you.
Alexandre L’Heureux: Thank you, Bruno. Let’s start our 2018 operational outlook with Canada. We expect our Canadian operation to build on the strong 2017 results, and improve operating margin across most market segments. We have backlog over $1 billion at the end of ’17 and good prospects for ’18. We anticipate steady organic growth in net revenues in the low to mid single-digit range. In the Americas, infrastructure spending in the U.S. is anticipated to remain robust and the integration of Poch and ConCol are expected to deliver synergies that should lead to improvement in operating margin. We anticipate organic growth to be in the mid to high single-digit throughout the first three quarters of the year, followed by a negative organic growth in net revenues in Q4 ‘18 due to the substantial FEMA net revenues recognized in Q4 ’17 for which we cannot anticipate they will reoccur in ’18. As a whole, we anticipate organic growth in net revenues for the Americas operating segment in the low single-digit in 2018. In the EMEIA region, the Nordics region is expected to deliver solid results in 2018. Organic growth in net revenues is anticipated to range in the mid to high single digits. Operating margin improvement is also anticipated at the significant increase in headcount experienced in 2017 should translate into higher utilization rates in ’18. UK’s growth for ‘18 will be driven by large public sector work. Despite continuing concern over Brexit, we still anticipate modest organic growth in net revenues in the low single-digits with the bulk of its concentrated in the second and third quarters of ‘18. Lastly, in the EMEIA region, prospect for the Middle East and South African operation remain muted for ’18. Both regions are anticipated to deliver negative organic growth in net revenues as foresee difficult economic condition in those geographies, persisting in ‘18. Of note, these two regions represented less than 6% of our 2017 net revenues. On a consolidated basis, the EMEIA region is anticipated to post organic growth in net revenues in the low single digits. In APAC, we anticipate another solid year for the A/NZ region with organic growth in net revenues expected in the mid to high single digits with infrastructure market segment at the forefront of the growth prospects for ‘18. In Asia, a continuing slowdown in the building market is anticipated to lead to negative organic growth in net revenues for the year. We will be deploying cost containment efforts to limit margin deterioration, as well as other action plans to remediate the situation going forward. On a consolidated basis, we anticipate the APAC region to deliver organic growth in net revenues in the low single-digits for ’18. Before we open the line for question, I would like to give you a brief update on our M&A strategy. As often mentioned in the past, M&A is a key element of our growth strategy and we intend to be an active but disciplined player in our industry. We will continue to focus on identifying possible targets, both private and publicly listed, across various sectors and geographies and train that strategy and culture by in line with ours. With a 1.8 times leverage ratio and $850 million and available short-term capital resources received to react opportunities as and when they arise. One of our priorities in terms of geographic regions and sector but the U.S. clearly remain an important market for us. We have also mentioned our interest in Europe, particularly in Continental Europe. From a sector perspective, our attention remains on our existing end markets, including buildings, transportation and environment. We also contemplate extending our expertise in the water and energy sectors. In conclusion, we will remain focused on driving global organic growth and improving margin, leveraging our global knowhow and wining work, while pursuing our long-term growth strategy focused on our technical expertise, hence being optimistic for ‘18. In addition to being the first choice for our clients, our 2015, 2018 strategic norm by the end of ’18 has a target of 44,000 employees annualize 6 billion net revenues and an 11% adjusted EBITDA margin. We remain confident that we will attain these objectives. Now, we would like to open the lines for questions.
Operator: [Operator instructions] So our first question comes from the line of Mona Nazir from Laurentian Bank. Your line is open.
Mona Nazir: So firstly, I just wanted to just it’s more of a housekeeping. But you mentioned multiple times on the call and throughout the MD&A that the lower billable days had an impact on the quarter. I am not sure if you have this information. But if billable days have been the same versus last year, what would have margins been?
Bruno Roy: Four billable days indeed has a very significant impact on our quarter. As you think about it, we have four less days to offset all our fixed costs. Now the impact of that is very hard to explain and it really depends on the assumptions you make, so that’s why we didn’t publish anything on that. But very significant impact on our numbers, and ballpark came to $0.27 per share on EPS.
Alexandre L’Heureux: But you look, Mona, on the impact that the additional five days had in the first quarter and similarly look at the fourth quarter and look what the impact of the four days had, and it’s on a relative term is very similar but we haven’t published that obviously.
Mona Nazir: And then secondly just turning to organic growth. You just mentioned the organic growth for the year in excess of 4% and that’s stripping out the FEMA related work. And that’s in a year where we did not see any significant boost to infrastructure spending in the U.S. and in Canada with some of the stimulus programs. If these programs do come to fruition and commence, I am just wondering, how should we think about this organic growth? And what do you think is a cap -- I am just trying to get a sense of realistic expectations, as I know there is a lot of excitement about the impact in this space.
Alexandre L’Heureux: It’s hard to put a number on this. It’s hard to put a cap on it, Mona. It’s hard to predict if and when they’ll be boost. Canada, you now that, I mean it’s been slow out of the gate over the last 18 months or certainly since the federal election. So it's really hard to put a number or put your finger on what capital look like. I think we're entering the year with a good backlog, certainly in Canada and in the U.S. And that's what we essentially put our forecast on. I mean we're pleased with the way we are in 2018, and the way we finish the year. And frankly for us that's all that matters. If those comes along the way clearly I mean this would bode well for the organization but right now I cannot count on it.
Mona Nazir: And just lastly from me, despite continuous ongoing acquisition activity, some of which have been pretty large scale. You’ve been able to consistently increase your margin profile over the last few years, we saw 40 basis point improvement in 2015, '16, another 20 basis points this year. And just taking the midpoint of your guidance range, expecting another solid improvement into 2018, I understand when you’re making acquisitions there’re some low hanging fruit. But wondering if you could comment on your ability to take margins higher in the current environment. And I am just trying to get a handle, is it the complementary resource centers that you touched on, on the Analyst Day, is it the M&A synergies, is the complexity of the work that garner the higher multiple. Is there anything that I am missing? Thank you.
Alexandre L’Heureux: Well, you take just the North American markets. In '17, it’s fair to say we haven't been very active on the M&A front. I mean we've just tucked in a smaller piece of satellite location of the Opus acquisition to Canada, so we’ll see what we’ll end up on this. But you look just 60%, 65% of the business, it’s still very much North American centric and we were able over time to increase the margin profile. You take Canada as a prime example, you look at our '16 performance and you look at our '17 performance, I mean we've made an enormous amount of efforts and better time selection, better project selection, mission critical work, custom payment in our corporate costs, attracting the best talent in the industry. So I think it's not just a matter of realizing cost synergies as part of our M&A strategy, and you know that's not the primary reason why we do deals. We do deals because we want to complement our existing platform with additional expertise and strengthen our platform. So the point I am making is it's not just an M&A play, the increase in margin, it's also a good amount of work that we're putting in the platform to improve our margin profile. And as part of our '19 to '21 plan, I mean, clearly this is also it will be at the heart of our strategy.
Operator: Your next question comes from Frederic Bastien from Raymond James. Your line is open.
Frederic Bastien: I was wondering on the FEMA work that you did, was there any EBITDA drag that might have impacted results from this incremental work you did?
Alexandre L’Heureux: Very marginal. What really makes a difference in our fourth quarter number, Fred, is really the four days. So the last quarter is one of the best quarters of the year and we won five days in the worst quarter of this year, Q1 as you know is our worst quarter always. Of course, it's going to do plenty things on margins. That's why we strongly recommend you look at the full year margin, which normalizes all these things and that's been formally very good basically.
Frederic Bastien: Obviously, a lot of volume out of that FEMA assignments. How did you perform in that job? And I was wondering, does that open up the door for more work with federal agencies down the road? Or was that just really a one-time gain that you out there?
Alexandre L’Heureux: Look, we’ve been working with FEMA for 22 years. But only once in the last 15 years, we’ve reached that peak level that we’ve reached in ’17 and that’s why I just want to cautious our analyst and the investment community that it don’t happen every year. In the last year, the U.S. sustained three different hurricanes and we don’t see that every year. So I think we’ve performed extremely well. It’s been a long-term relationship, typically our long five years assignment. I think we’re going to be up for rebid in the next few years. So the time will tell. But I think we’ve done a very good job and I think actually our employee should be commended for their work.
Frederic Bastien: What I was trying to get to Alex more on the -- I don’t if the several federal agencies that U.S. has, they talk to each other, anything like that. But would that -- I assume you did commendable work there. I mean would that open up the door for more opportunities? I believe that you guys are subscale in federal work. So wondering what that does to your prospects there?
Alexandre L’Heureux: I think I wouldn’t count on it. It’s certainly cannot hurt Fredric. I think as I said, we’ve had the long lasting relationship with the federal agency. I mentioned before that at the Investor Day and on numerous analyst calls that government services is something that at some point we need to explore or we will explore. But right now, I think it's fair to say that it's a small portion of our total book of business.
Frederic Bastien: You note in your prepared comments some delays in project starts in the UK building. Can you provide a bit more color on that please?
Alexandre L’Heureux: It’s been just the market over the last say 18 months or let’s say two year that’s cooled up. Frankly, the market cooled up before the vote on Brexit, it’s something that we were expecting. The UK market on the private side had been half for many, many years. And I think that the market that’s taking a pause. But at the same time, we’re not seeing dip that the country is seeing post the recession in 2007-2008. So I don't want you to think that we are seeing the market plays the way the market reacted post recession in 2008.
Bruno Roy: And we also, Fred, in the fourth quarter, we also had there is a single large project in publicly building that was meant to start in December, while the start was actually in January. And that made an actual difference in the result and it was very large project and it did much in January. So there is a little bit of timing in there.
Frederic Bastien: And my last on in terms of your outlook for margin expansion. Do you expect each of your operating regions to improve on their 2017 results in terms of EBITDA margin?
Alexandre L’Heureux: No, I’m not going to go country-by-country. We operate in 40 countries but I’d say our major hubs that the hope in order to get that’s the aim I should say rather than the hope. And we have a plan to get there. To get to 11% margin, I mean most of our larger hub will have to contribute. So on that front, I think it’s fair to say that that’s we’re aiming at.
Operator: Your next question comes from Benoit Poirier from Desjardins Investor Capital Markets. Your line is open.
Benoit Poirier: Just to come back on the previous question on the margins, I understand that you won’t provide any specific color to any regions. You are aiming for a [indiscernible] in every region. But is there any regions where you expect maybe higher contribution than others, Alex and Bruno?
Bruno Roy: Look, I mean we haven’t disclosed that and I don’t want to start disclosing, and we provide an outlook to assist you. I am not going to start -- I wouldn’t want to start disclosing forecast on any of the regions. I think I am providing an outlook for the Company. But I think it’s fair to say, Benoit that the aim obviously in every region is to improve. So I hope and expect that we would be in our Asia Pacific, like Australia, New Zealand, that we will be improving. I think in Asia will be challenging clearly as I said during my address. In the UK and the Nordics, we’ll continue to try to do better. And Canada equally, we are hopeful that we’re going to improve our margin profile and in the U.S. So I think we’re clearly to get to 11%, as I said before, we’ll have and we’ll need our major hubs contributing to the equation.
Benoit Poirier: And now when we look at your global corporate costs, you’ve done a good job in the past of managing corporate costs. Now for the year you expect $75 million, $80 million. You mentioned a good explanation on why. If I look in percentage of net revenues, this comes up from almost 1% to 1.3%. So is the 1.3% is the way we should look at post 2018 or we should expect basically the global corporate costs to come down post this year?
Bruno Roy: They should come down of course as we go out and get scale right. The bump in this year’s is related to our long-term incentive plan that we’ve brought in within the Company. So we have more folks in the outlet and again to make sure that we keep our terrific leaders in all regions on the plan, so to speak. So that’s the difference, frankly. That and frankly the other thing is the share price appreciation, so it’s been a little bit more expensive to have share based incentive programs because our share price has been really well last year.
Benoit Poirier: Would you be able, Bruno, to quantify what would be the contribution from the LTIP and also the stock price impact?
Bruno Roy: We probably won’t go there, but assume because we’ve done well last year.
Alexandre L’Heureux: I think your first question, Benoit, the way I would answer it -- the way we approach corporate costs is really, every year it’s a bottom up approach. When we said it’s between 1% and 1.2% of net revenue I mean for this year it’s a good metrics but next year it could be different. I mean we always aim to reduce our corporate costs. We always aim to run the partnership. So I will use this as like the normal if you want run down the run rate, I should say, of our corporate costs. Next year, I mean, we’re going to revisit our corporate costs. We’re going to revisit our business and if it reduce and be more effective and more efficient we will be.
Benoit Poirier: And just a quick question on the seasonality, obviously you had a five more billable days in Q1, four less in Q4. So if we look at seasonality for 2018, should we compare apple-to-apple or basically in Q1 2018, you’re going to be facing a tough compare given you benefitted with five less billable days back in Q1?
Alexandre L’Heureux: I am delighted to say that we will have exactly the same number of days in each of the quarters as we've had in 2017, so these biases will be gone in 2018.
Benoit Poirier: And last for me, could you mention any color about your pipeline for M&A prospect. How it has changed versus last quarter and any change in the strategy? Thank you.
Alexandre L’Heureux: No, we considered -- as you know we closed in on our Opus acquisition in October. I mean in order to reach our plan, we’re going to need to -- as you know, I mean this is ongoing discussion and we always try to have a healthy pipeline of prospect. So I'd say that it hasn't changed year-over-year. I think my job is obviously to engage with my colleagues around the world and try and find firms that share our vision, share our culture and would complement very well our existing platform. And together we can raise the bar as an organization. So I'd say that it was an active year in our industry last year with large transaction taking place, but there's also room for a medium sized, smaller size but I expect also a larger size transaction in the years to come. So the point I am making is having ongoing discussion is healthy and you always learn something, and we’ll continue to do that but the target pipeline is good.
Operator: Your next question comes from Yuri Lynk from Canaccord Genuity. Your line is open.
Yuri Lynk: Just a clarification on your organic growth outlook, so it's 1% to 4%, that's on top of the number that includes the FEMA?
Bruno Roy: Yes, it is.
Yuri Lynk: So that’s quite a good outlook for '18. Has your outlook -- how is your outlook for organic growth rate evolves over the last six to nine months?
Alexandre L’Heureux: I think it's evolved like pretty well. I mean it's been -- you look at the year and the way we progress from the first quarter to the end of this year and we are pleased and you look at the backlog and the growth in our backlog year-over-year and we're frankly as I said before, I think that's the reason why I feel we're entering the 2018 with, I would say, confidence. Difficult to predict what will happen 12 months from now, but we're entering the year with confidence, with a strong balance sheet. So I feel that the things are evolving well.
Yuri Lynk: Well, I guess my point was you delivered about 1% to 4% guidance, which is what I think most people expected. But that's on top of a tough comp. So it's that you guys are feeling good about it?
Alexandre L’Heureux: I am feeling that we have good momentum right now and we need to push the organization and that's what we do. And as I said before, we have a good backlog right now. So of course despite that the FEMA excess in revenue we generated, I think that if we could reach that level we would be very pleased. I think it would be a good achievement as you stated.
Yuri Lynk: This quarter the first quarter of ‘18 we’re lapping last year where you had some extra working days, the Americas segment, for example, you had almost 13% organic growth last year. You’re calling mid to high. So I just want to make sure that that seems like a very tough comp?
Alexandre L’Heureux: So we’ll have the same number of billable days in Q1 ’18 as we had in Q1 ’17, so won’t have that…
Yuri Lynk: Last one from me. What levers do you have left to pull in terms of getting to your 11% margin, i.e. is it better leverage on SG&A? Is it the OpEx? Just how should we be thinking about your journey to 11%? And then once we get there, how do you feel about pushing it potentially beyond that?
Alexandre L’Heureux: It’s a three-year cycle. So when we disseminated our plan in ’15, we had many initiatives and the work that we wanted to action in order to get to our 11% margin. So this is not something that we are starting this year, there are not necessarily initiatives that we started this year that will get us to the 11%. This is ongoing initiatives around better client selection, better project selection, working on mission-critical work that will leverage our expertise, that will allow us to increase our fee on those jobs, and that’s we’ve been able to do. And as I said before, it’s an ongoing effort to manage your utilization within the company, being more efficient and agile and the way we manage utilization and project management. I mean project management is the heart of what we do. I mean our project managers have to be trained, and we have to attract and retain the best in the industry. So I’d say that it’s a number and I said that before, if you recall, I don’t remember when but at a number of conference call, increasing margin in the people business, 42,000 people in 41 countries, it’s a number of initiatives. It’s not one single thing that will get you to 11%. In every country, the initiative might be different because in Australia the requirement will be completely different than what is required in the U.S. to increase the margin profile. So you don’t approach it holistically. Country-by-country, we have plan to increase the margin profile. I’m giving you example that doesn’t mean it’s this, but in Australia maybe, it’s corporate cost that we need to improve. In the U.S. maybe it’s project management and Canada, it’s going to be something else. So I think we have a plan by country of where we need to get to. And we monitor it and we try as harder as we can to deliver on the plan.
Operator: Your next question comes from Derek Spronck from RBC Capital Markets. Your line is open.
Derek Spronck: Just in terms of your backlog as it matures, and you had a nice pickup in your backlog this quarter as well. Can you talk a little bit about the quality of the backlog in terms of the anticipated margins that you see within that backlog and just the overall qualitative aspects on it?
Bruno Roy: I’ll try to answer that question perhaps differently. The question that Yuri was asking I think we’re entering the year with a backlog, I think it’s a good backlog. And it’s been just above the amount of it and we’re entering the year and you look at your backlog, you look at your recent win and you look at the projects that we were able to secure. And I’d say that we’re entering the year feeling good about the backlog that we have. And hopefully with this backlog that will get us to our 11% margin that’s the goal by the end of ’18.
Derek Spronck: So within that backlog, you’re effectively seeing the benefits of projects, better project selection and perhaps leveraging your expertise in certain segments?
Bruno Roy: Yes, I mean we’re seeing it. Alex gave the example of the Magellan Telescope in Chile, which is again a highly technical job that we’ll be doing from this year onwards. It’s also a job that we would never won in the past, frankly. And that we won this time around -- because of our team in the U.S. and Lat-Am, you’re going to see that Poch in Chile, and with the help of our team in the U.S. So again, technical expertise relationships and local presence and this is a terrific example of our strategy forward.
Derek Spronck: And just moving on to your guidance metrics. Last year, you provided guidance for EBITDA adjusted EBITDA came in at the high end of the range. I mean for all intensive purposes, it seemed like you hit basically in line most metrics, maybe there was some positive aspects that came in ahead. But when you look at your 2018 guidance level, it’s pretty a wide range. Is that -- would you consider that partly due to a level of conservatism? And just trying to get a thinking of within that range if things go according to plan would you be coming in closer to the higher end of that range versus the mid-point or the low end of that range?
Bruno Roy: Consistently over the years, we’ve provided this outlook. And just to provide you with assistance when we look at where we’re headed as a company 600 tons, 660 million with that when consider to be a wide range, we work in 41 countries with a number 100,000 live projects or about. So I think you need to be careful at the same time. To provide two tight of a range, I think we’re comfortable with this. Last year, we finished at the end of it. I look back of where we finish the year this year and look back for instance at the mid range of where we are guiding you right now, and I feel it’s a pretty good increase year-over-year percentage wise from where we will finish the year to where we want to end the year. So I think it’s a good place to be. And if we feel over the course of the year that we can reduce the range, I mean we’ll do that for sure.
Derek Spronck: And just one last one for myself. On the acquisition front, you mentioned U.S. been an area of interest, water could be different, could be several different sizes of acquisitions that could come to fruition. I mean would you be willing at this point to do something more transformational, a major type of acquisition. Would that be in the part that if it was the right acquisition?
Alexandre L’Heureux: Absolutely, that's thus far can say. I mean if the sub starts are aligned and it meets all of our checking all the boxes, absolutely.
Operator: [Operator Instructions] Your next question comes from Maxim Sytchev from National Bank Financial. Your line is open.
Maxim Sytchev: Just more of a general question on M&A, I think if you look at percent and transactions of size, it seems to me that the multiples are creeping up. And obviously just being mindful in terms of what you pay for the deals. Is it fair to say that maybe on a go forward basis you might be looking at some potential assets that would have a turnaround component to that or this is still not part of your thinking in terms of M&A?
Alexandre L’Heureux: Well over time, we've always tried to be opportunistic, Max. So again, we like to buy good business, good businesses with strong expertise. The first thing that we're looking at is this firm has good people with good expertise. And sometimes some firms despite having great expertise and great people, they may run into a tough period and that happens. So of course if the opportunity was presenting itself we would look, that doesn't mean we would do something. But as in the past, we've always been open and thinking outside the box and we’ll continue to do that.
Maxim Sytchev: In terms of -- I mean one of the bigger trends, especially for the some of the larger peers that we see in the industry right now, there's a big push on digital, Alex. I am wondering if you don’t mind sharing some high level thoughts on these initiatives, maybe for yourself and how WSP comps versus some of the competitors in the space right now, if it's possible.
Alexandre L’Heureux: Yes, digital means different things to different people, and billion in '18. In parallel executing on our last year of this strategic cycle and parallel where we're preparing our next three year strategy, and if you allow me I'd like to come back to you when we have formalized our view on our digital strategy. But intuitively, I believe that already WSP is doing a lot internally. If you look at the amount of outstanding work that we do in various countries where we operate, every time I visit a country, I am always -- it's mind boggling to see what our people are doing, it's pretty special. And I believe that and I am saying that and I reserve the right to change my mind over the course of the strategic cycle that we are undertaking. But I believe the strategy will come from within. I believe the solution on digital will come from within as opposed to potentially outside. I think we already -- I mean we are doing a lot of things with our clients that are technology events. If I talk about automated vehicle, I think we do a lot of great things already. So if you allow me, I’d like to get back to that question, which I understand is high on your priority list. I get this question often. But I’d like to really take the time to take it offline with our -- or professional internally and get back to on this.
Maxim Sytchev: Any maybe just last question for Bruno. In terms of the CapEx spend in 2017, it was slightly less relative to what you have forecasted. Was there a reason for the variance? And if there just a spillover effect into 2018 and maybe you can talk about the initiatives that were pushed back or forward, maybe just any color there please.
Bruno Roy: It’s a bit of both, Max. But big part of the change here is improved discipline on CapEx. We have been tighter in terms of real estate and in terms of our IT, in terms of managing that pipeline, that’s one thing we’ve done and pretty proactively. The second is there has been a bit of spill over as well on to early ’18. And if you look at our outlook for next year we’re ranging at 116 to 125 on CapEx. This reflects that but it also reflects the fact that we does hire 5,000 more professionals last year and there is a bit of integration to be done there, and we’ll need a bit of CapEx. So again, our range for 2018 could be 116 to 125.
Operator: We have no further questions. I turn the call back over to the presenters.
Alexandre L’Heureux: Okay. Well, thank you for attending our Q4 2017 and we look forward to updating you in the next quarter and quarters ahead on our performance in ’18. So thanks for your support and looking forward to speaking with you again. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.